Operator: Thank you for standing by, ladies and gentlemen, and welcome to Dynagas LNG Partners Conference Call on the Second Quarter 2017 Financial Results. We have with us Mr. Tony Lauritzen, Chief Executive Officer; and Mr. Michael Gregos, Chief Financial Officer of the Company. At this time, all participants are in a listen-only mode. [Operator Instructions] I must advise you that the conference is being recorded today. At this time, I would like to read the Safe Harbor statement. This conference call and the slide presentation of the webcast contain certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties which may affect Dynagas LNG Partners' business prospects and results of operations. Such risks are more fully disclosed in Dynagas LNG Partners filings with the Securities and Exchange Commission. And I now pass the floor to Mr. Lauritzen. Please go ahead, Sir.
Tony Lauritzen: Good morning, everyone, and thank you for joining us in our second quarter ended June 30, 2017 earnings conference call. I am joined today by our CFO Michael Gregos. We have issued a press release announcing our results for the said period. Certain non-GAAP measures will be discussed on this call. We have provided a description of those measures, as well as a discussion of why we believe this information to be useful in our press release. The earnings for the financial quarter ended June 30, 2017 were within our expectations. There were particular cost items that fell into this particular quarter that affected the results. 50% of our fleet entered dry dock for the scheduled maintenance. Loan fees related to the financing prior to the Term Loan B and the Clean Energy is trading on a relatively weak spot market until her delivery into her long term charter in July 2018. Turning to Slide 2, Clean Energy and Ob River completed their five-year special survey and related dockings in the second quarter. The Amur River commenced its five-year special survey in the second and completed the same in the third quarter. We are satisfied that the class surveys including dry dockings were completed quickly and efficiently with only an average of 15 days between arrival to departure at the repair yard. The vessels are in a five-year special survey cycle, meaning one would expect about five years between each such event. In April 2017, the Clean Energy became available for employment at which time we entered into two consecutive short-term charters with Gazprom to employ the vessels through the end of August 2017. Following the expiration of these charters the vessel is employed on an additional short time charter with Petrochina and will continue to be employed on the short-term market until her eight-year contract with Gazprom from July 2018. Although we have been successful in employing the Clean Energy on the short-term market, such market has although improving turned out to be weaker than her long term charter. Our adjusted EBITDA for the period was reported at $22.9 million with corresponding adjusted income of $4.2 million. The Partnership reported a net loss of $5.2 million which includes $4.9 million of scheduled class survey and dry dock costs for the three vessels and a one off $2.6 million non-cash charge associated with the refinancing of the debts that were in place prior to the Term Loan B. A quarterly cash distribution for the second of 2017 of $0.4225 per common unit was paid on July 18, 2017. The cash distribution is equal to an increase of 15.8% over the Partnership's minimum quarterly distribution per unit. The Partnership paid on May 12, 2017 a cash distribution of $0.5625 for each of its Series A Preferred Units for the period from May 12, 2017 to August 11, 2017. Distributions on the Series A Preferred Units will be payable quarterly on the 12th day of February, May, August and November and an equivalent of $0.5625 per unit provided the same is declared by the Partnership's Board of Directors. I will now turn the presentation over to Michael, who will provide you with further comments to the financial results.
Michael Gregos: Thank you, Tony. Turning to Slide 3 of the presentation, as anticipated our financial results were impacted by the one-off charges of $7.5 million related to the fact that half of our six vessels fleet underwent their special survey and dry dock in the second quarter at the cost of $4.9 million and the one-off charge of $2.6 million related to the write-off of unamortized deferred loan fees associated with the Partnership's prior indebtedness which is a refinance with a Term Loan B in May of this year. Please note that the Partnership expenses class survey costs as incurred and that two of our vessels commenced and completed their class surveys in the second quarter. Therefore the second quarter results include the full class survey dry dock costs for these two vessels. The third vessel, the Amur River commenced dry dock in the second quarter and completed it in the third quarter and as a result approximately half of the class survey cost for the Amur River has been charged in the second quarter with the remaining to be reflected in next quarter's results. Our operating results were also impacted by the lower revenues attributable to the Clean Energy which is the only vessel in our fleet currently trading in the short-term market pending her delivery into an eight-year charter next year. The off hire days related to the three vessels that were dry docked and the higher interest expense following our Term Loan B. During the second quarter of this year the Partnership generated revenues of $32 million and adjusted net income of $4.2 million. For the same period of 2016 revenues amounted to $42.6 million and adjusted net income to $18.8 million. Our adjusted figures take into consideration the class survey costs and non-cash items such as charter hire amortization, amortization of the fair value of acquired time charters, write-off of deferred loan fees. For the quarter we had 507 available days versus 546 in the same period in 2016. Our average fleet cash daily charter rate amounted to $66,900 per day per vessel versus $81,300 per day per vessel for the same period in 2016 and utilization for the quarter amounted to 95%. The increase in vessel operating expenses from approximately $12,200 per day per vessel to $13,700 per day per vessel were attributable to the expenses incurred in preparation for the dry docking of the three vessels discussed earlier. Moving on to Slide 4 to discuss distributable cash flow and our coverage ratio, for the second quarter of 2017 our coverage ratio declined materially as anticipated as a result of the off hire periods related to the three vessels that were dry docked, the materially lower earnings on the Clean Energy and higher interest costs following the Term Loan B refinancing. We do caution not to place too much emphasis on the coverage ratio for the quarter and the near-term since this metric is not a direct indicator of the Partnership's ability to pay cash distributions. The distributable cash flow and coverage ratio of the Partnership in our opinion are less of a guide since replacement and maintenance CapEx significantly exceed the Partnership's principal payments of debt. This is relevant because despite this transitional period for the Partnership as a result of entering employment of the Clean Energy until she delivers into our long-term contract next year, the cash position of the Partnership is strong and is further enhanced following our Term Loan B financing. Our projected next 12-month cash flow breakeven excluding cash distributions to common unit holders and class dry dock surveys but including preferred distributions is about $42.5 thousand dollars per day per vessel whereas the average gross time charter rate of our fleet contracted long-term employment is close to $75,000 per day, excluding the Clean Energy which is trading in the short-term market pending her delivery to the Gazprom eight-year time charter. Including our cash distributions to common unit holders our cash flow breakeven is approximately $70,000 per day per vessel and if we take into account the Clean Energy, even if she trades at the currently subdued spot rate until she delivers into our long-term contract our average charter rate would still amount to about $65,000 per day which is comfortably cushioned by a strong capital position. Moving on to Slide 5 to discuss our attractive debt maturity and repayment profile, in May of this year we demonstrated our ability to successfully tap the capital markets with the completion of our $480 million Secured Institutional Term Loan B which significantly enhance the sustainability of our current distribution to lower amortization, a more efficient covenant structure and extended maturity. Following this refinancing, our total debt amortization amounts to $4.8 million per year, a significant improvement over the $32.5 million per year debt amortization prior to the refinancing. It is self evident that the reduced principal payment more than compensates for the slightly higher interest expense we pay on the Term Loan B. Our only other debt instrument is our 6.25% $250 million unsecured note which matures in October 2019. Given our contract length of 10.2 years which runs significantly beyond the maturity date of our secured and unsecured indebtedness, we do not anticipate any difficulties refinancing our unsecured and secured debts. Moving on to Slide 6, except for the Term Loan B and unsecured note, our capital structure includes a perpetual $75 million 9% preferred security which we can redeem at our discretion at par from 2020 onwards. As of today, our total debt represents 56% of our total capitalization. As of June 30, we had about $74 million in cash on hand, $730 million in total debt resulting in a net debt last 12 months EBITDA of about 5.3 times. As we have previously stated, although we feel very comfortable with our leverage metrics, our leverage is on the higher end of our targets. Balance sheet protection is of paramount importance to us in any growth through acquisition of vessels will be accompanied with deleveraging. Moving on to Slide 7, on July 18 we paid our 15th quarterly cash distribution. Since we went public in November 2013 we have paid approximately $208 million in cash distributions to our unit holders on $255 million of distributable cash flow. During that time our common unit holders have received total cash distributions amounting to $5.94 per unit. All-in-all despite the drop in our distribution coverage our balance sheet strength, strong liquidity and contracted revenue backlog will allow us to maintain the cash distribution in the near to medium-term, which gives us the luxury to be patient with capital raises and distribution growth. This is a marathon not a sprint. That wraps it up from my side. I will pass the presentation over to Tony.
Tony Lauritzen: Thank you, Michael. Let's move on to Slide 8 to summarize the Partnership's profile. Our fleet currently accounts six high specification and versatile LNG carriers with an average age of about 7.1 years in an industry where expected useful economic lifetime is 35 years. We have a diversified customer base with substantial energy companies, namely Gazprom, Statoil and Yamal LNG which the latter is the international joint venture between Total, CNPC, Novatek, and the Silk Road Fund. Our contract in backlog is about $1.49 billion and our average remaining charter period is about 10.2 years which compares well versus our peers. Our vessels have also served customers such as Qatargas, RasGas, Marubeni, Woodside, Kogas, CPC, North West Shelf and several other major oil and gas companies. We therefore have a large customer base that we are able to contract with. Moving on to Slide 9, our fleet of LNG carriers are largely fixed on long-term charters with strong and reputable energy companies and we have a very low availability going forward. Drivers for our charters were the characteristics of the fleet including its ice class notations and our organization's track record. The contractual relationship between our customers and the vessels on a time charter party basis, under a time charter party the charterer pays a fixed day rate to the owner regardless if the vessel is being used or not and all major variable costs such as fuel cost are for the charterer's account. There are also no early termination rights for convenience for the charterer. Therefore and coupled with our multiyear employment profile the Partnership enjoys visible and stable revenues that are not directly affected by oil or gas prices. We have minimal capital requirements which provides significant free cash flows. Compared to other shipping segments, LNG shipping is highly industrial segment where owners and charterers work very close together and mutual performance is key. Charterers typically program the vessel for its trade for long periods of time. In April 2 17 Clean Energy became available for employment at which time we entered into two consecutive short-term charters to employ the vessel through the end of August 2017 followed by another short term charter and we expect to enter into additional charters for the Clean Energy prior to her delivery to Gazprom in July 2018. We have only entered a limited number of discussions on the general availability that we having in 2018 given that we believe the market is on an improving trend. Let's move to Slide 10. Our sponsor Dynagas Holding owns a fleet of nine LNG carriers which are all on long-term contracts. Four of those LNG carriers are fully owned and trading, one of them the Clean Ocean is chartered to Cheniere until 2020 and will thereafter deliver to Yamal LNG for a 15-year charter. The three sister vessels, Clean Planet, Clean Horizon and Clean Vision are currently employed in the cool pool, a pool equally owned by Dynagas, GasLog and Golar which is also the world's largest provider of short-term tonnage. From 2019 these three vessels will deliver to Yamal LNG for minimum 15 years employment each. The five Arc-7 LNG carriers are 49% owned by our sponsor and 25.5% each by Sinotrans and China LNG Shipping, two state-owned Chinese entities. These vessels are under construction in Korea and are chartered to Yamal LNG for between 26 and 28-year contracts each. All vessels on the water and in the order book are fully financed and funded. All nine vessels have contracts in place amounting to about $1.1 billion contract backlog. These optional vessels are dropdown candidates to the Partnership. Let's move to Slide 11. We have a unique fleet, five out of the six vessels in our fleet have ice class 1A notation. It can handle conventional LNG shipping as well as operate in ice bound and subzero areas. This means that we are able to and have been successful in pursuing business opportunities in two different markets, namely conventional shipping and a unique market for icebound trade. The initial capital expenditure for an ice class vessel is somewhat more expensive than conventional carriers. However, the operating costs between our ice class type carriers and conventional carriers are very similar. The company together with our sponsor has a market share of 75% for vessels with Arc-4 or equivalent ice class notation. There are only three other LNG carriers in the world with equivalent notation which to our knowledge are unchartered out on long-term contracts. We view the ability to trade in icebound areas as an important advantage due to the current and ongoing construction of LNG producing terminals within icebound areas. Our fleet is regularly trading in icebound areas and we have long track record in transiting LNG carriers in Northern sea route which gives a tremendous advantage given that the large gas reserves located in the middle of this route that are being developed for export by the end of this year. We also expect further projects to be developed in that region. Further to that, our fleet is optimized for terminal compatibility which is of significant importance in a market that is changing from a fixed route trade to worldwide trade. The fleet consists of groups of sister vessels that provides for overall relative better economics and efficiency. Let's move to Slide 13. In summary the market is in place with substantial ongoing growth of LNG production coming from new energy projects primarily from the U.S. and Australia. The world LNG carrier fleet is too small to carry those additional volumes in the long-term and there are too many small and old technology vessels. Also there has been a slowdown in the ordering of LNG carriers with marginal ordering activities since Q3 2015. There appears to be sufficient demand for the new LNG from existing and new importers and floating regasification projects creates accelerated demand for available LNG. The current LNG world fleet and the order book including FSRUs and FSUs totals about 576 vessels. The order book counting 112 vessels is about 24% of the world fleet. As much as 30% of the world fleet is below 140,000 m³ and aged. More importantly these vessels are small with average size of about 135,000 m³ this is well below the average cargo size. We expect that most of these undersized and aged vessels will fade out of the market and be replaced with larger and younger tonnage. As seen on the graph on the upper right side, almost all vessels built prior to 2006 are small turbine vessels. Furthermore, 82% of the order book of 112 vessels has already been committed for employment. This means that there are very few new buildings that may be available to replace on average undersized an aged tonnage and to carry expected incremental LNG production. According to the order book most new builds will be delivered during the period 2017 and 2018 which is also a period we expect significant additional LNG production. We have seen a slowdown in ordering activity of LNG carriers and there are only a few yards in the world that has the experience and capability to build such vessels and if we were to order today our guess is that yards would be able to offer tonnage for delivery in the early 2020 at the very, very earliest. Let's move to Slide 14. We are now in a period with strong growth in LNG production. It is conservatively forecasted that about 143 million tons of new annual LNG will come to the market between now and 2021. This means a total increase of 54% compared to 2016 production. It is also assumed that project output on existing terminals may increase going forward adding additional supply. We assume that the majority of the new LNG is coming from terminals already under construction, meaning a high probability of project materialization. The source of this new LNG is primarily from Australia, North America, Southeast Asia and Russia. It is likely that the Far East will remind the largest buyers going forward; however, the largest incremental demand growth may be from new and from European and Asia Pacific markets and in particular China. We believe we will continue to see the emergence of new niche markets in areas such as South Asia, Middle East and South America with large volumes will be imported by FSRUs. We also believe that there are sufficient buyers for the new LNG to be absorbed, the majority of the new LNG export volumes have sale agreements or off take agreements in place. We believe that the existing import markets will continue to increasingly rely on LNG as a price competitive and clean energy resource. Let's move to Slide 15. In first half of 2017 LNG production was up 12% from the comparable period of 2016. As expected in particular Australia and the U.S. have been the largest incremental producers so far and are expected to add significant further volumes going forward. The trend is expected to continue in second half of 2017 with existing trains ramping up capacity and new projects such as Cameron LNG, Wheatstone LNG and Yamal LNG being added. In March 2017 the industry saw the world's first cargo being produced by a floating LNG terminal namely the PFLNG Satu which gives confidence to floating LNG production technology and Golar LNG produced 25 cargoes in the first half of 2017 compared to 12 for the full year of 2016. Sabine Pass LNG train 1 to 4 are substantially complete and we assume that train 5 is scheduled for completion end 2018 or early 2019. Let's move to Slide 16. With the U.S. projected to become one of the world's largest exporters of LNG it is important to analyze where those volumes are being shipped so far. Sabine Pass produced 159 cargoes between February 2016 and August 01, 2017. 20% of the volumes went to South America, 25% to Central America including Caribs, 14% to Europe including Turkey, 21% to the Far East, 14% to the Middle East and 6% to India and Pakistan. Initial analysis indicates that Sabine Pass requires 1.7 vessels for each million tons of LNG produced. At full production Sabine Pass is expected to produce 27 million tons per annum. This means that one would require about 46 vessels fully utilized per annum to serve this terminal alone. If we conservatively estimate that the U.S. export will produce 69 million tons of LNG per annum within 2021 U.S. volumes may require about 117 vessels alone. That is equivalent to about 25% of the current world fleet. Let's move to Slide 17. Gas, coal and oil are by far the largest sources of energy today. Due to its environmentally friendly properties gas is expected to outperform growth in both coal and oil. LNG is the fastest growing subsegment of the gas industry because it provides flexibility as opposed to a rigid pipeline network. Since 1990 the number of countries importing LNG has grown from 9 to 36 and the number of exporters has grown from 8 to 19. From the year 2000 until 2017, infrastructure worth $990 billion has been constructed. The Far East is still the largest consumer of LNG and demand is growing. The world’s largest incremental importers of LNG in second half 2017 were China, Japan and South Korea. Both Japan and Korea have long been relying on LNG as a resource. China completed its first LNG import terminal in 2008 and today have 13 completed LNG terminals and 10 under construction. Growth in Chinese LNG imports have averaged 17% per annum in the last five years. In 2016, China imported 26 million tons of LNG equivalent to about 10% of 2016 world LNG production, this number is forecasted to grow to 33 million tons by end 2017 an equivalent of 25% year-on-year growth. Let’s move to Slide 18. LNG is becoming an increasingly important energy resource due to its environmentally friendly properties, its completive pricing and availability. We experienced new import markets emerging in particular via floating regasification terminals which we term FSRU imports that allows for quick market access. In 2016, 22 million tons equivalent to about 8% of worldwide production were exported to new markets and the majority of those volumes were discharged into FSRU terminals. Although most incremental demand going forward will come from land based terminals, the FSRU landscape is interesting because it develops very quickly and is accelerating LNG demand growth. The FSRU market has grown steadily over the past years. In 2016 floating regas made up 50% of the total regas capacity. This number is expected to increase to 21% within 2021 which does not include more than 40 proposed FSRU projects. In December 2016, Colombia joined the FSRU industry followed by Turkey in January 2017 and this year FSRU projects are expected to come online in Ghana, Russia, Pakistan and Brazil. In summary, when we compare LNG supply to LNG shipping capacity available from now and forward, we remain confident that the market outlook for shipping looks favorable in the long term. In the period prior to that, we believe that the short term market in general may create competition to the long term market until sufficient LNG supply is outpacing LNG shipping capacity. The growth in LNG production set at 54% within 2021 is estimated to outpace increase in LNG shipping capacity of 24% within the same period. A large portion of the new LNG will be delivered already within 2019, meaning we should expect the period ramping up to that point and subsequent years to result in an improved and increasingly healthy shipping market. Additionally, the Partnership's fleet is largely ice class and winterized enabling the flexibility to pursue the best of two different markets which has proven to be a strong advantage so far. We have now reached the end of the presentation and I now open the floor for questions.
Operator: Thank you very much indeed. [Operator Instructions] And your first question from Stifel comes from the line of Ben Nolan and your line is now open sir.
Ben Nolan: Yes, thanks. Hey guys, I had a few questions related to the Yamal project, the first is there is a little footnote in the presentation – in the press release that said that the charters are subject to certain conditions and would require waivers or what not. Is there anything incremental there or is that just sort of the way that it’s always been and you don’t expect there to be any issues?
Tony Lauritzen: Yes, hi Ben. Thanks for that question. Yes that is something that has always been there and that footnote was related to a time of concluding in particular the two charters were the Yenisei and the Lena River. They form part of a package deal that our sponsor would do on other shipping class assets. So basically since there was a package deal Yamal just wanted to make sure that we perform on – that our sponsor performed on the other vessels as well, but nothing has changed there and everything is going well.
Ben Nolan: Okay, good. So and then related to that, I know obviously Yamal has made good progress and when thinking through the timeframe as to when your charters actually become effective, both obviously at the partnership level but then also at the sponsor level, what hurdles need to be clear to what exactly needs to happen in order for those to take effect and do you have any sort of updates on exactly what’s been taking place in Yamal?
Tony Lauritzen: Ben, sorry did you mean related to those conditions on those vessels?
Ben Nolan: No, no, no, no, I mean separately so you know, I know that...
Tony Lauritzen: Oh, yes, just in general. Well, I mean these vessels in the Partnership and on the sponsor level is on a time charter basis with a defined time of delivery. So the vessels will be delivered regardless of the status of the project and the project is as we understand well capitalized. That being said, as far as we are aware, everything is going very well for Yamal producing first cargo in October. So as with every project there is a ramp up period where you start to produce smaller quantities and you ramp up over time. So I guess that the hurdle for the project is to ensure that the terminal and all the equipment works so that the ships that they have by then taken the debris off, it can be filled up and trade their cargo.
Ben Nolan: Okay. So with respect to I suppose to at the sponsor level, the two Arc-7s later coming online or later this year if the - whether or not the project is working, you guys are going to be paid, that is correct?
Tony Lauritzen: That’s correct, that’s correct and that’s further guaranteed by shareholders of the project.
Ben Nolan: Right. Okay and then lastly from me just sort of thinking through how this big new way of Yamal vessels and contracts come in, obviously you’ve been bit of a chicken and the egg issue in terms of dropdown schedules and so forth, but do you feel any additional sort of pressure or momentum to maybe start to find a way to grow the fleet in order to get the ball rolling on the dropdown of these Yamal vessels or how exactly you’re thinking through where you stand in that respect?
Michael Gregos: Hi Ben, this is Michael. No nothing has really changed from our perspective. We feel that we’re in a pretty good position. We have the luxury to wait. We don’t want to do something which would put us in a worse off position in the future and when I say I mean something is that, we don’t issue equity which is prohibitedly expensive. So we’re in a position where the distribution, the current distribution is safe and we believe that the best way forward is to be patient and be opportunistic also when the time comes.
Ben Nolan: Okay. All right, I’ll turn it over. Thanks guys.
Operator: Thank you very much indeed sir. And your next question from Credit Suisse comes from the line of Gregory Lewis and your line is now open sir.
Joe Nelson: Thank you and good afternoon, this is Joe Nelson on for Greg today.
Tony Lauritzen: Hi, how are you?
Joe Nelson: Good and just first question from me in your prepared remarks you talked about any future dropdown growth coming with deleveraging and as well as looking to this opportunity of four to five-year balance sheet, I’m just wondering as we think about the balance sheet do you have any target leverage in mind as to where you prefer the balance sheet to be either now and then as far as any future acquisitions or dropdowns or concerns?
Tony Lauritzen: Well we do have leverage targets. In order to attain these targets first of all we would have to dropdown a couple of ships. And second of all there would have to be a larger mix than of equity rather than debt. I think ideally we would like to be somewhere in the 4.5 to 5 times range. That would be our let's say long term target.
Joe Nelson: Okay, thanks and then second one maybe a little bit more market related. You mentioned that maybe some of the conversations you're having now with some of your counterparties regarding term employment isn't as I guess maybe as rewarding as you'd like it to be. I mean, what do you think we need to see to really get the time charter market perking up here and maybe reflecting some of the improvements that we've seen in activity in the spot market so far this year?
Tony Lauritzen: Yes, thank you very much for that question. I think we need to see the market continue on the same path which it is now. I mean we've in the short term market we've seen an improvement during the last three months or so I would say and there is a lot more activity in general on the short term. For example, in July and August, I think we had almost record numbers of short term fixtures. If we look at for example the entire 2016 you had about 270 spot market fixtures and year-to-date we're up in 2014 already. So, I believe that we're on the right track with the utilization being up with charter rates in general being on an improving trend. This is the result of increased supply of LNG. In the past we would see these trends being as a result of let’s say arbitrage in the market et cetera, but it’s very little, so this basis we think is strictly a result of more LNG coming. So I think that we just have to be patient as a result of more and more LNG coming. I mean, every quarter there is more. Within 2019 we will have pretty substantial volumes already been added to the market with relatively limited shipping supply and also given that the world's fleet is consisting of many aged vessels, small vessels, inefficient vessels. I think that we are on the right - on the right trend and that's exactly what we said just earlier as you commented on that we think it's better to sit back and wait a little bit for the availability that we would potentially have in 2018 instead of entering too many discussions on that right now.
Joe Nelson: Thank you very much, Tony. I appreciate the time today and I'll turn it over.
Tony Lauritzen: Thank you very much.
Operator: Thank you very much. [Operator Instructions] Now this question from Wells Fargo comes from the line of Hillary Cacanando. And your line is now open ma’am.
Hillary Cacanando: Hi, thanks for taking my call. Just wanted to get your thoughts around counterparty risk as it relates to Yamal and Gazprom just given the fresh rounds of tensions in Russia and do you have any concerns that past in the future LNG exports to western countries could be under sanctions with in the future, I mean is that a possibility do you think or do you have any concerns around counterparty risk?
Tony Lauritzen: No, we’ve first of all where a company where would always be sanctions compliance, so it's important for us to look carefully into these matters and we haven't discovered any breach of sanctions and in the contracts that we have. And we believe that in particular gas is extremely important for Europe. Russia is one of the biggest suppliers of gas to Europe and if gas were to be sanctioned that would be a big problem for Europe in our opinion. So we don't think that it's realistic that gas exports would be sanctioned. And when we look at general counterparty risk we think that Gazprom is one of the big gas giants out there with a tremendous amount of infrastructure when it comes to Yamal LNG as you particularly asked about this is an international joint venture between Total, Novatek, CNPC and the Silk Road Fund which jointly must be some of the biggest players in the industry. So we believe that we have very strong counterparties and yes we do not believe that there will be sanctions affecting our charters.
Hillary Cacanando: Okay, thank you and that was helpful. Just also just wanted to get clarification on dry-docking. You said you're not expecting dry-docking and special surveys for another five years, so what about the other three vessels in the fleet the Yenisei River, Lena River and the other one Clean…
Tony Lauritzen: The Arctic Aurora?
Hillary Cacanando: Yes, Arctic Aurora, I’m sorry, are they going to go through special surveys next year or are they done and when you said five years are you referring to just the three that just went through dry-docking or/and the other three remaining has to go dry-docking next year or are you clear for the next five years?
Tony Lauritzen: No, what we meant was we were clear for the next five years for the three vessels that underwent dry dock now, we have another three dry docks next year. And as I said before, we should expect in the next quarter a charge of, for the one vessel which completed its dry dock in the third quarter there should be a small charge in that quarter.
Hillary Cacanando: I see, so next year just for modelling purposes should we be expecting dry-docking in the second quarter of 2018 as well, all in one quarter?
Tony Lauritzen: That's right. Yes.
Hillary Cacanando: Okay, perfect. Thank you so much. That’s it from me.
Operator: Thank you very much, ma'am. And your next question from Jefferies comes from the line of Randy Giveans. And your line is now open sir.
Randy Giveans: Hey guys, thanks for the time. I just have a few quick modelling questions and then one kind of a strategy question. So following up on Hillary’s questions here for the Amur River, how many days for the dry docking were in 2Q versus 3Q, I know you said you started in 2Q and ended this quarter?
Tony Lauritzen: Well, they're evenly split. I mean, all the dry docks, they took about 15 days on average per vessel, so I would say, I would say half in one quarter and half in the other quarter.
Randy Giveans: Okay, then looking at vessel OpEx, the 2Q average went up to about 13,720 a day and I know that includes some in technical maintenance expenditures for the dry docking, but outside of that what is a good run rate going forward knowing that the ship yard guarantees expired I guess in 2016?
Tony Lauritzen: Yes, I mean if you exclude the dry dock that wouldn't have been a material difference in the operating expenses versus other quarters. I think on average we should be talking around $12,000 for the steam turbine and maybe $13,000 for the diesel fuel, the dual fuel vessels.
Randy Giveans: Okay and then I guess the strategy question obviously the coverage ratio was significant factor by the dry docking and it may not get about one through 2018 kind of in our model. So how long can it save a little one keeping the distribution at that $0.225 per quarter without having cut the distribution rates - that can you maintain that obviously it’s been 1.4 so all throughout 2016 so, is that enough savings to kind of keep the distribution at least constant through 2018?
Tony Lauritzen: Yes, yes as I mentioned before there's actually a disconnect in the distribution coverage ratio and our actual ability to pay distribution on a cash basis. I did mention that the distribution the way we are now is safeguarded for the near-term and that certainly includes 2018 and longer.
Randy Giveans: Okay, all right, well that’s it from me, thanks so much.
Operator: Thank you, sir. Now from Maxim Group, your next question comes from the line of James Jang and your line is open sir.
James Jang: Good afternoon guys. I just had a quick question on the Vladivostok LNG plant, have you heard any news of that because I don’t think they’re going to start bunkering, but do you think that might get rekindled?
Tony Lauritzen: When you say Vladivostok LNG plant, I mean you mean the…
James Jang: The Gazprom one.
Tony Lauritzen: Well the Sakhalin 1, yes. I mean and when you say bunkering, what do you mean LNG bunkering or?
James Jang: Yes, so I mean, I don’t think - I don’t believe it is the Sakhalin 1, I think it was the Shelf 1 the Vladivostok 1, I think that was back in 2013, they started to plan for it, it was supposed to come online in 2018 and then they shelved it, I think in 2015 or 2016?
Tony Lauritzen: Oh yes, sorry I misunderstood your question. I think we’re talking about an already producing one. No we don’t have any news on what the status is.
James Jang: Okay. With the Russian, with the power of Siberia pipeline that’s kind of being curtailed a bit, do you think there is going to be additional Arctic LNG explore capacity needed approximately in 2018 or are you guys kind of still keeping with the same model in terms of export demand just from Sakhalin and Yamal?
Tony Lauritzen: Yes, so I mean basically now we’re looking at the existing terminal which is the Sakhalin Energy Investment Company 1 and then from Yamal which is starting in October this year and if you’re referring to LNG exports beyond that from the Arctic, I mean there are discussions of additional projects. That is too early to discuss on a shipping level now we think that would be kind of 2018 discussion. But we know that there are specific projects being discussed for additional exports out of the Arctic.
James Jang: Okay, great. And aside from the Arc-7s that are on order now, have you seen any upticks from the shipyards in terms of additional ice class LNG carriers?
Tony Lauritzen: No, we have not.
James Jang: Okay. All right, great, that’s all I had. Thanks guys.
Tony Lauritzen: Thank you very much.
Operator: Thank you very much indeed and at this point there are no further questions. I should hand back to the speakers for closing remarks.
Tony Lauritzen: Well, thank you to everyone for your time and for listening in on our earnings call. We look forward to speak with you again on our next call. Thank you very much.
Operator: Thank you very much indeed gentlemen and with many thanks to our speakers today, that does conclude the conference. Thank you all for participating and you may now disconnect. Thank you, Mr. Lauritzen and Mr. Gregos, thank you.